Operator: Welcome to Assurant's Third Quarter 2025 Conference Call and Webcast. [Operator Instructions] It is now my pleasure to turn the floor over to Sean Moshier, Vice President of Investor Relations. You may begin.
Sean Moshier: Thank you, operator, and good morning, everyone. We look forward to discussing our third quarter results with you today. Joining me for Assurant's conference call are Keith Demmings, our President and Chief Executive Officer; and Keith Meier, our Chief Financial Officer. Yesterday, after the market closed, we issued an earnings release announcing our results for the third quarter 2025. The release and corresponding financial supplement are available on assurant.com. Also on our website is a slide presentation for our webcast participants. Some of the statements made today are forward-looking. Forward-looking statements are based upon our historical performance and current expectations and subject to risks, uncertainties and other factors that may cause actual results to differ materially from those contemplated by these statements. Additional information regarding these factors can be found in the earnings release, presentation and financial supplement on our website as well as in our SEC reports. During today's call, we will refer to non-GAAP financial measures, which we believe are important in analyzing the company's performance. For more details on these measures, the most comparable GAAP measures and a reconciliation of the two, please refer to the earnings release, presentation and financial supplement on our website. We'll start today's call with remarks before moving into Q&A. I will now turn the call over to Keith Demmings.
Keith Demmings: Good morning, everyone, and thank you for joining us. 2025 continues to be a remarkable year for Assurant. We delivered a very strong third quarter with double-digit earnings growth across both Global Housing and Global Lifestyle. Our performance during the quarter and year-to-date continues to drive significant cash generation and support our balanced capital allocation. Through our powerful B2B2C business model and diversified lifestyle and housing portfolio, we continue to execute for our partners, policyholders and shareholders. Our unwavering commitment to operational excellence continues to deliver exceptional client outcomes, customer experiences and differentiated returns. Through the first 9 months of the year, we've achieved 13% adjusted EBITDA growth and 15% adjusted EPS growth, both excluding reportable catastrophes. Given the strength of our business performance, we're increasing our 2025 outlook. We now expect full year adjusted earnings per share growth of low double digits and adjusted EBITDA growth approaching 10%, excluding cats, a significant increase from our initial expectations for both metrics. This upward revision further differentiates Assurant in the broader PMC industry as a provider of innovative services within specialized protection and insurance products. Our performance is a testament to our talented employees and their commitment to our clients and policyholders. Their dedication is the foundation of our success, and it's one of the reasons why we've been recognized by TIME as one of the world's best companies for the third year in a row. Let's turn to Global Lifestyle performance and highlights. Lifestyle earnings have continued to accelerate throughout 2025 and have increased 4% or 6% on a constant currency basis year-to-date, supported by double-digit growth in the third quarter. We remain well positioned to deliver full year growth across both Connected Living and Global Automotive. In Connected Living, performance has been the result of executing on our long-term strategy to drive commercial momentum through new client programs and the continued expansion of our partnerships, combined with enhanced capabilities and services. This quarter, we're excited to announce 2 new Connected Living opportunities that were made possible by important investments, which have enabled us to expand our end-to-end solutions and reinforce our competitive advantage. First, in mobile, we're significantly expanding our repair and logistics capabilities through a new multiyear agreement with a large U.S. mobile carrier. We have co-created and are now operating a new fully dedicated state-of-the-art logistics facility where we receive return devices from across their entire ecosystem, including mobile phones, tablets, home Internet and accessories. This one facility solution will process and repurpose all returns from store locations, customers and manufacturers under one roof. Our joint vision was to create a facility that maximizes circularity in the mobile industry, allowing us to reuse, repair and remanufacture and deliver these devices back to end customers within the client's network. This allows us to help them optimize their device protection program while improving the end customer experience. This leverages our capabilities, including device processing, upgrading, repair and rapid claims fulfillment while providing a broad supply of high-quality refurbished devices for insurance replacement, wholesale and direct-to-consumer channels. This collaboration demonstrates Assurant's role as a strategic partner and solidifies our position as a leader in the reverse logistics space. Successfully executing programs like this demands seamless integration of our operational technology and supply chain management with our clients. We leverage advanced automation, AI and robotics on the processing side to maximize efficiency and ensure consistent, scalable outcomes. We're encouraged by the traction we've made in mobile repair and reverse logistics and continue to be excited about additional near-term opportunities. Our second new opportunity within Connected Living is in our retail extended service contracts business, where we recently launched a partnership to provide administration and underwriting with Best Buy, the world's largest specialty consumer electronics retailer. Through this partnership, Best Buy's Geek Squad protection customers will begin to have access to additional services by Assurant, receiving support through our AI-enabled virtual agents, live chat and access to repairs through our nationwide service network, including our cell phone repair or CPR stores. This partnership represents another win in a space where we've increased our footprint and gained significant momentum over the last several years, now working with U.S. retail leaders across appliances and consumer electronics. Looking to 2026 and beyond, we see clear opportunities within Connected Living that will further strengthen Assurant. In Global Auto, adjusted EBITDA increased 4% year-to-date, and we remain on track to grow for the full year, supported by stable run rate earnings and ongoing loss experience improvement. We also continue to optimize performance across the business with a sharp focus on our clients, systems, product design, claims cost and people. We have momentum in Global Auto, which is driven by renewed partnerships across distribution channels, including international OEMs and U.S. dealership groups, further solidifying our client base and reinforcing our position as a market leader. A great example is our expanded partnership with Holman Automotive, one of the largest privately owned dealership groups in the United States. Following Holman's 2024 acquisition of Leith Automotive Group, Assurant will support 30 newly added dealership locations with finance and insurance products, dealership sales and participation program guidance. Our dealer services are also driving new business wins. Our platform is built to support dealers at scale with everything from product innovation to operational support, attracting new partners while creating opportunities with existing ones. Across Lifestyle, our ability to deliver solid results while investing in innovation is a key differentiator. Turning to Global Housing. We continue to outperform with outstanding lender-placed results in our homeowners business as well as continued property management company or PMC expansion within renters. We expect another year of strong housing adjusted EBITDA growth, excluding cats, further building on the impressive growth demonstrated since 2022. We continue to expect a very strong combined ratio for the full year, trending below our initial expectations of the mid-80s. This excludes prior year development and reflects lower-than-expected cats for the year. In Homeowners, we're seeing the impact of our multifaceted growth strategy, supported by our differentiated market position, scale and client focus. One prime example is the momentum we have through new business wins. Following a standout 2024 with significant client renewals and new partnerships, we see meaningful growth potential from our robust new business pipeline that we expect to lead to policy expansion over time. As we continue to scale, we expect to sustain disciplined expense management to underpin our growth. In Renters, our increasing scale is reinforced by technology-enabled services, particularly our Cover360 platform in the expanding PMC channel. This platform has helped deepen relationships with existing clients and win new business, supporting sustained double-digit premium growth and increasing penetration rates for renters policies. During the third quarter, we completed a multiyear renewal with the largest PMC in the U.S. and signed 2 new PMC partnerships. We continue to see benefits from the new renters portfolio that we onboarded earlier this year, adding scale and identifying opportunities to further expand our footprint in the PMC market. Across both Homeowners and Renters, our strategic investments in technology and operational efficiencies continue to drive improved margins and better customer experiences. Global Housing is a cornerstone of our business, delivering strong results today while positioning us well for the future. Assurant's long-term strength and resilience set us apart in the PMC space. Over the last 5 years, we've delivered a compound annual growth rate of 12% for adjusted EBITDA and 18% for adjusted EPS, both excluding catastrophes. Our average ROE from 2019 to 2024 outperformed the S&P 1500 PMC Index median with less than half the volatility. While our 5-year average ROE of approximately 13% reflects the impact of prior acquisitions, our average return on tangible equity over the same period trended above 30%, well above the median of the PMC index, a testament to our earnings power and differentiated returns. Our unique and advantaged portfolio of lifestyle and housing businesses has created diversified sources of earnings and capital, generating strong returns, robust cash flow and strong growth with lower volatility. Looking ahead, we remain laser-focused on finishing the year strong and building for 2026. Although we see power in the diversification in our business, we are pleased to drive growth in 2025 across our Global Housing, Connected Living and Global Automotive businesses. We're well positioned for future growth as we expand offerings with a focus on increasing attachment rates with existing partners, winning new clients across the globe and prioritizing investments in our core markets. That includes launching new products and services across both lifestyle and housing and continue to embed innovation across everything we do from AI-powered tech support and personalized solutions to robotics in our device care centers. These enhancements are helping us drive simpler, faster and more consistent outcomes for our clients, helping them increase the lifetime value of a customer. We see further opportunity for attractive organic growth as we enter adjacent sectors through new product offerings planned for early 2026, creating pathways for growth that align with our strengths and extend our reach. We have a clear strategy and a team that's ready to deliver on the strong momentum we have across Global Lifestyle and Global Housing. As we head into the final quarter of the year, we're energized by the progress we've made, and we're confident in our ability to continue creating value for stakeholders. I'll now turn it over to Keith Meier to highlight our third quarter results and expectations for the remainder of the year.
Keith Meier: Thanks, Keith, and good morning, everyone. As we near the end of 2025, we continue to make significant progress on our key priorities, driving growth and strong financial performance through our intense focus on innovation and product differentiation. We have continued to elevate customer experience, building on our long history of technology advancements with AI and digital automation while increasing expense efficiency and ensuring our capital position remains strong, putting Assurant in a position to create meaningful value over the long term. Our third quarter results reflect that significant progress. As Keith mentioned, we're proud of the underlying strength of both Global Housing and Global Lifestyle, which together drove third quarter adjusted EBITDA and EPS growth of 13%, both excluding cats, demonstrating positive momentum within our businesses. Let's take a look at our segment results, beginning with Global Lifestyle. In the third quarter, adjusted EBITDA increased 12% compared to last year, driven by double-digit earnings growth across Connected Living and Global Automotive. In Connected Living, earnings increased 11%, driven by strength within Financial Services, particularly a new card benefits program launched late last year. Subscriber growth in mobile with 2.1 million net additions year-over-year, largely from expanding partnerships with U.S. clients and optimized global trade-in performance supported by growth across U.S. cable and carrier partners as well as our certified pre-owned business. In Global Auto, adjusted EBITDA was up 15%, which includes a net non-run rate benefit of approximately $6 million. When normalized for this non-run rate item, adjusted EBITDA was up 6%, growing both on a sequential and year-over-year basis from improved loss experience. We're encouraged by the improved loss experience in our vehicle service contract business and stable earnings overall. We continue to benefit from prior rate increases and enhancements to our claims processes and product designs while consistently working closely with our clients to stay on track to deliver full year growth despite ongoing inflationary pressures across the industry. For Global Lifestyle, our net earned premiums, fees and other income grew 7%, primarily driven by Connected Living growth from mobile programs and a new program in financial services as well as contributions from Global Automotive. Moving to Global Housing. Third quarter adjusted EBITDA was $256 million, including $3 million of reportable catastrophes excluding cats, adjusted EBITDA increased 13% to $259 million, marking another quarter of strong double-digit growth. Our Homeowners business benefited from the absence of a previously disclosed $28 million unfavorable non-run rate adjustment in the third quarter of 2024. This was partially offset by $16 million of lower favorable prior period reserve development with $29 million in the current quarter compared to $45 million in the prior year period. Excluding these 2 items, underlying results were strong with 9% growth. Results benefited from favorable non-catastrophe loss experience, mainly due to lower claims frequency and continued top line growth within lender-placed from higher in-force policies and average premiums. Finally, our liquidity position at quarter end was $613 million, providing us with flexibility to continue to invest in our business, return capital to shareholders and support future growth. We are driving strong cash flows. This quarter, we returned $122 million to our shareholders, including $81 million of share repurchases and $41 million in dividends. Through October 31, we have repurchased an additional $27 million of shares for a total of $234 million so far this year. During the quarter, we completed the successful issuance of $300 million in 2036 senior notes and redeemed $175 million of senior notes coming due in 2026. The issuance was well received and demonstrated the strong demand for our investment-grade bonds, further affirming the strength of Assurant and our capital position. Let's move on to our updated outlook for 2025. The strength of our year-to-date results reflect the power of our unique business model and differentiated financial profile. Driven by our year-to-date outperformance within Global Housing and earnings momentum in Global Lifestyle, we now expect adjusted EPS to grow low double digits and full year adjusted EBITDA growth to approach 10%, both excluding cats. This increase from our previous expectations reinforces the earnings power of Assurant. We continue to expect strong growth for the year in Global Housing as well as earnings expansion within Global Lifestyle, where both Connected Living and Global Automotive are expected to grow. Global Lifestyle results are expected to be partially offset by investments in new partnerships and programs as well as unfavorable foreign exchange for the year. We continue to expect approximately $15 million of strategic investments for 2025 directly tied to launching high-impact programs and clients. Within Global Housing, we expect strong growth for the year to be led by lender-placed, including increased policies in force. As a reminder, our outlook does not contemplate additional prior year reserve development beyond the $91 million from the first 9 months of the year. In Corporate, we now expect our 2025 full year loss to be approximately $120 million, an increase of $5 million from our previous outlook. This primarily reflects organic investments in a new adjacent program. We would expect additional investments associated with this opportunity in the Corporate segment in 2026 and are looking forward to sharing more details on our next earnings call in February. And finally, our capital objectives remain consistent given our position of strength as we focus on maintaining balance and flexibility, enabling us to support new business growth while returning excess capital to shareholders. For 2025, we now expect to return $300 million to shareholders through share repurchases at the top end of our $200 million to $300 million anticipated range from the beginning of the year. For the fourth quarter, we would expect a higher level of segment dividends compared to third quarter, given our business' ability to generate meaningful cash flows. Full year cash conversion to the holding company is expected to approximate 2024 levels. This reflects the strength of our capital position and disciplined approach to capital management, investing in growth while prioritizing shareholder returns. Our year-to-date performance, commercial momentum and increase in outlook, reinforce the strength of our businesses and the value we bring to our stakeholders. As we look to deliver our ninth consecutive year of profitable growth, we see significant opportunities across clients, products and geographies. Through the power of Assurant's business model, we're driving growth by activating opportunities already in our pipeline, deepening relationships and expanding offerings with existing partners and increasing investments in core markets, all underscored by our relentless focus on innovation. We're excited about what's ahead and remain committed to delivering meaningful value for all of our stakeholders. With that, operator, please open the call for questions.
Operator: [Operator Instructions] Our first question will come from Mark Hughes with Truist Securities.
Mark Hughes: You referred to a pipeline. I think you're talking about Homeowners or Renters and said you had a strong pipeline, which doesn't seem like the usual thing in that line of business. Could you expand on that?
Keith Demmings: Sure. I think we've seen a lot of momentum really across the Board in housing. Certainly, the fundamental performance of the business has been strong, but we've been investing pretty deeply the last few years in all of our technology, operational capabilities. I think our lender-placed solution is unquestionably market-leading, and we do see further opportunities to drive growth with new clients over time. Even though we've got a strong leadership position, there's still opportunity for white space. And then Renters, you've seen pretty consistent PMC growth for the last 3 years, and we expect that, that will continue as we look forward.
Mark Hughes: Yes, very good. In Global Auto, the loss performance was better year-over-year, but stable sequentially. Is it hit kind of an area that you think is sustainable or likely to hold steady going forward?
Keith Meier: Yes. Thanks, Mark. And I'd say, overall, for Auto, we're really pleased with the quarter, growing EBITDA 15% year-over-year. I think when we look at the loss performance, our vehicle service contract side, I think all of our rate actions that we've taken place over 20% over the last few years and the product changes, I think we've seen that become more stable. So we're pleased with that. And then we touched on the GAAP side as well. Those loss exposures continue to diminish as expected. So we should expect those results continue to improve. So overall, we feel good about the business has stabilized well this year.
Mark Hughes: Then one more, if I might sneak one in. In the Homeowners, I think you've been helped somewhat by the hard market. I think your product has been priced right for a lot of Homeowners. If the housing market starts to soften a little bit or broader homeowners market, do you think that has meaning for your top line prospects?
Keith Demmings: Yes. I mean there's lots of dynamics at play. I'd say, for sure, we've benefited from the challenging voluntary market. We've seen a lot of policy growth as a result of that. That continue certainly through the year, and we'll have to watch where that goes. And then we've also driven growth with clients in different portfolios. So I think we're well positioned. It's also countercyclical. So should there be a downturn in the economy generally, we may see an uptick in placement rates. So we'll have to monitor how all these factors play together.
Operator: Our next question comes from Charlie Lederer with BMO.
Keith Demmings: I think we lost you.
Charles Lederer: Can you hear me?
Keith Demmings: Yes.
Charles Lederer: Okay. Sorry. So just starting on the new partnerships in Connected Living. Is there anything you can quantify or color you can give around the impact you're expecting from the reverse logistics and Geek Squad deals? Are these immediate revenue generators? And what kind of trajectory are you expecting? And how should we think about the investment spend around these next year relative to the $15 million this year?
Keith Demmings: Yes, it's a great question. So certainly, the -- on the reverse logistics side, we're really excited about being in a position to announce that to the market. It's incredibly strategic, and we're co-locating with a client in the facility. So it's terrific. It certainly will begin to contribute in 2026. We'll continue to make investments, it will be positive as we think about EBITDA impact next year. And then I'd say something similar for the Best Buy opportunity as well. It will contribute in '26. We've made a lot of investments this year. That will certainly taper off, and it will help us in our go-forward EBITDA.
Charles Lederer: Got it. And then on the buyback guide, you increased it from $250 million to $300 million to the top end of that range. I guess, given the lower cats this year, would you expect your '26 outlook on capital deployment to be a little bit higher, too? Or how are you thinking about capital deployment next year?
Keith Meier: Yes. I think, first of all, I would say we feel really good about the strength of our capital position today. We've got $613 million in Holdco liquidity. So I think that really gives us that flexibility that we want to have. And we try to have a balanced approach, Charlie, as we typically talk about. So Keith highlighted some organic investments that we continue to make. In addition, we always have an M&A pipeline that we're working. We've announced a few smaller ones this year. We had Gestauto in Brazil that helped our auto business. We had OptoFidelity that helped our device care centers and adding some technology there. And then we also acquired U-Solutions in Japan that furthered our walk and repair capabilities in that market. So you'll see us continue to invest in M&A opportunities. And then in terms of the buybacks, we felt really strong about that. That's why we signaled going to the top end of our range. And so we -- as we exit this year, we expect to be in a strong capital position, and we'll provide more guidance on share buybacks next year on our next earnings call. And then lastly, I would just say we also have done 20 straight years of dividend increases as well. So we like being able to have a balanced and a strong position across the Board.
Keith Demmings: Yes. And maybe just to add a little flavor for 2026. We'll certainly talk more about buyback expectations and capital deployment in February. We'll see where Q4 ends up. That will help us understand the drivers as we think about 2026 performance to provide the guidance. But I would say, as we think forward, we're incredibly pleased with the momentum that we have really across all the businesses. We do expect to grow all 3 for the full year, Connected Living, Auto and Housing. Certainly, this quarter, we had double-digit growth in each of those businesses. So we've got a lot of momentum, which is very good. And as we think about '26, we do expect Lifestyle to continue to grow. We'll certainly benefit from the investments we've made the past couple of years. And then we do expect underlying growth in housing to continue. So setting aside the PYD, following 3 years of really strong performance, we expect to see that continue. And then we will have a higher corporate loss in '26. Keith Meier touched on it relative to our '25 guidance. We are expecting to launch a new program in an adjacent business, and we'll talk more about that in detail at February as well.
Charles Lederer: Maybe just one more. On the 2 Renters PMC deals you talked about, can you dimension the opportunity there relative to the growth we've seen this year?
Keith Demmings: Yes. I think we feel good about the consistency of the performance in Renters. I mean we've had 13 quarters in a row of double-digit growth. Our largest partners are growing. Really excited we renewed our largest PMC client to a multiyear agreement. We did a really successful book roll and then adding additional PMCs. That's what's going to continue to fuel the momentum that we've seen, and we expect that to continue.
Operator: Our next question comes from James Koehne with Morgan Stanley.
James Koehne: This is James Koehne on for Bob. So my first question relates to Housing. So my understanding is that you have 60-plus percent market share in lender-placed. Curious how much you think you could realistically grow share in the intermediate term? And do you have aspirations to grow share to a certain level in the intermediate term?
Keith Demmings: Yes. I mean we've -- like I said earlier, we've got a strong right to win. We're incredibly focused on having the best solution and capabilities in the market. There's some big client opportunities where we don't perform that service today. So obviously, we're laser-focused on those. I wouldn't say we've set a threshold or a target. We're trying to acquire clients all the time in every one of our businesses and lender-placed is no exception to that.
James Koehne: Got it. Great. My second question is a related one. So on the notable drivers supporting housing results recently, so higher AIV, the hardening of the voluntary market, solid placement rates. Curious how you would rank them in terms of their contribution to the recent uptick in segment growth? And how are you thinking about their relative contribution to growth going forward?
Keith Demmings: Yes. I mean I think the growth in our policies certainly has been the biggest driver as we think about the housing performance. We're up 8% year-over-year in terms of our policy counts. That certainly shows up in the placement rate, and it's a result of a lot of it from a hard voluntary market. Rate in AIV, I think, has been a little bit favorable this year, but it's not a dramatic change. AIVs are certainly up but normalizing. So I would definitely put our policy growth at the top of the list.
Keith Meier: Yes. And I think certainly, the placement rates are driving that policy growth and the AIVs being up 5% year-over-year, that certainly contributes as well. And then as we talked about earlier, we also see new opportunities to add additional clients on top of that. So when you combine it, that's one of the things that makes that business so powerful is there's multiple ways to grow.
Operator: Our next question comes from Tommy McJoynt with KBW.
Unknown Analyst: This is [ Molly Nolan ] calling in for Tommy McJoynt. My first question is about the iPhone upgrade cycle. It has been getting a lot of attention in the media. That's led to questions about how downstream suppliers and service providers can benefit. So can you just remind us about Assurant's role and opportunity in trade-in upgrade and adding covered device counts specific to the iPhone upgrade cycle?
Keith Meier: Yes. I think what we've seen certainly is a robust cycle. I think we saw some demand pull forward in the second quarter. And I think we've seen, as we outlined, some additional contributions to our trade-in business as a result of some of that as well. The big driver for us in our business really is the protection programs. And often, the customer that has their protection program on their last phone will roll it over to the new phone. So that's what generates a lot of stability for our business as we go through the various cycles. But certainly, overall, it's a positive dynamic for us.
Keith Demmings: Yes. And we -- if we look at the clients that we operate the protection services with, particularly in the U.S., our clients gained 81% of the postpaid net adds. So to the extent that there is elevated switching, strong promotional activity and as you said, strong demand for the new iPhone new devices, that tends to bode well for us both on protection as our clients grow, but also we support a lot of different clients as well with trade-in opportunities. So I feel good about how we're positioned there.
Unknown Analyst: Great. My second question would be just understanding investments are part of the business cycle. Are there any major investment projects that you currently have planned for next year that we should think about as we think about margin expansion opportunity across the business lines?
Keith Demmings: Yes. I think the one thing that we're trying to signal today is we will be launching a new program in an adjacent business early next year. We're excited to share more details, and it will create a long-term vector for growth for the company. We're looking to have the corporate investment be a little higher in 2026, which we'll talk more about in February. But that's probably the big thing that we're signaling that we're going to talk about in more detail to come.
Keith Meier: Yes. And we've started already to invest in that a little bit this year, and that's why we've raised the number on our corporate loss by $5 million this year that takes that into account.
Operator: [Operator Instructions] Our next question comes from Mark Hughes with Truist Securities.
Keith Demmings: Welcome back Mark.
Mark Hughes: Glad to be back. In Global Housing, if you look at the loss ratio, is there a material difference in the loss ratio between lender-placed policies and voluntary policies?
Keith Meier: I think in general, I think the premium rates are different, Mark. So I think there is a -- I think they would correspond, I think, generally. And I think that it also comes into play where our expenses for tracking go into our rates for lender-placed. So there's the lender-placed tracking expenses versus typically commissions on a voluntary basis. But overall, depending on the mix, those would probably be the bigger differences more so than the loss ratios.
Mark Hughes: Yes. What is the magnitude of the top line differential, the premium differential between the two?
Keith Meier: We look at our lender-placed rates and what we can compare them to is the prior policy that a Homeowner has held, and it varies from state to state. Some of them are a little bit higher, some of them are a little bit lower. But I would say, overall, over the last couple of years, and I think it's helping our placement rate is I think our product is becoming more competitive as the voluntary market raises their rates significantly. I think all the work we've done to drive expense efficiencies, our expense ratio was in the mid-40s a couple of years ago. Now it's in the high 30s. So us not having to raise rates as much as the voluntary market, I think, has certainly helped our and contributed to our improved placement rates.
Mark Hughes: Yes. When you talk about a new program that you're planning to talk about in February, is that kind of a new line of business? Is that what we're talking about?
Keith Demmings: Yes. It's a new line of business that we're not in today, which is why we've put it in corporate. The effort is being driven by our Chief Innovation Officer, who used to run the Connected Living business for the company. And yes, we're trying to create a new pathway for long-term growth, and we're very excited to talk more about it later.
Mark Hughes: Yes. Your reinsurance buy, it seems like the reinsurance market is going to be more favorable for you next year. Would your preference be for reducing your retention for larger events or reducing cost on the program?
Keith Meier: Yes. I would first say that we probably buy in to reduce our volatility more than typical. We'll certainly evaluate that as we look at the pricing. But I do think we're in a good position going into next year. We didn't have anything that touched our reinsurance tower this year. So I think that's positive. And then obviously, this last quarter having very low cat activity should certainly be a positive as well. Our renewal kicks in on April 1. That's when we place the next year, and we certainly look forward to sharing more with you on that. The only other thing I would say is it also the mix of business in the geography in which we've been growing. And so if you look at our reinsurance rates last year versus this year, we expect them to be on a normalized basis, pretty similar, just over $200 million. And I think that's a little less than we were expecting this year because our Florida business hasn't grown, but we've grown significantly in less cap-prone states. So we've been really happy with the mix of business in terms of where we've grown for our housing business.
Operator: There are no further questions at this time. I will now pass the call back to Keith Demmings.
Keith Demmings: All right. I just want to say thank you to everyone for joining. As we've said, we're excited about the momentum we have across our businesses and certainly look forward to delivering our ninth consecutive year of profitable growth, and we'll talk to everybody again in February. Have a great day.